Operator: Thank you for standing by, and welcome to Ansell Limited FY '23 Half Year Results. All participants are in the node. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Neil Salmon, CEO. Please go ahead.
Neil Salmon: Thank you, and good day to you all. Thank you for joining today and for your interest in Ansell. So I'll start with a business update. We'll then cover financial results with Zubair, Come back to me for some comments on outlook for the rest of this fiscal year, and then we'll take questions. So let me start with the business update. Overall, our external environment saw mix trends between our industrial and health care market presence. Generally favorable demand trends for industrial, supported by key verticals such as automotive and energy. In contrast, difficult market conditions for health care, where destocking was a prominent feature across most of the verticals that we serve. As many have noted in this earnings season, market conditions remain variable, difficult to predict, not least of which are FX rates, which were unfavorable to us during this period. Within this market environment, let me summarize the key results that we've delivered. We saw strong organic constant currency sales growth in Industrial with a particularly strong result in mechanical. Another half of double-digit growth in Surgical was pleasing and our consistent and multiyear strategy of growth in emerging markets continued to show dividends in the half year. We anticipated and did indeed see lower sales in exam single use, but we also saw lower sales in Life Science as this customer destocking effect extended to that vertical too. And as both businesses experienced lower selling prices as planned as we adjust selling prices to post-COVID norms. Our EBITDA margin improved 120 basis points, the improvement coming in health care and that comparison also on an organic constant currency basis. A quick summary of key elements of our strategic progress. Our greenfield surgical facility in India is progressing well. A few hours ago, we announced that we had acquired the other 50% in our CarePlus manufacturing JV. And as I'll cover in a moment, we believe that's an important step in enhancing our surgical and exam single-use manufacturing capability. Our recent capacity expansions are performing well, particularly our exam single-use facility in Thailand, and we continue our focus on R&D and with a particular emphasis on more sustainable product solutions. I'll cover the financial impacts of those results in a moment. But before I get there, let me say a few words on our sustainability objectives. And of course, and as always, we begin with safety. Last year set a very good benchmark on safety, some of our best results ever. This year, I'm pleased to say our lost time injury rate remains at last year's good level and our medical treatment rate has reduced further. And we also see a continued increase in the leading indicators of safety where we report and observe unsafe conditions or apps before they become causes of injury. But I do want to highlight an accident that while not in these statistics under the OSHA reporting regulations that we follow, was nevertheless a serious accident and one that's led to a number of follow-ups. During transportation, back from a work shift to accommodation, 39 workers were injured in a bus accident. They've all made a full recovery. But as with all serious accidents, this has led to a comprehensive review of transportation safety, and we have a program across all of our countries in place and improving according to the learnings from that. Moving now to our labor rights objectives. And here, again, a half year period in which we've made some important steps forward. We continue to implement our sustainability management framework that we set out in some detail in our sustainability report. We've largely completed Wave 1, which is the onboarding of our major finished goods suppliers and are progressing with Wave 2, which encompasses many of our key raw material suppliers. We've also adopted an enhanced internal risk assessment process that guides decision-making in the event that we have concerns about whether a supplier is following our code of conduct and is operating in accordance with our key principles. In order to ensure we have effective management of our supplier base, we are in the process of consolidating our spend to fewer suppliers where we have in-depth insights and are confident that they themselves also are leaders in their sustainability performance. Linked to that, it's important that we strengthen our insights across the entire supply chain. And we continue to supplement the SMETA audits that have been placed for some time with more in-depth forced labor assessments against the 11 indicators of forced labor as set out by the International Labor Organization. We're making progress. The key milestone achieved in the half is that all our Malaysian finished goods suppliers have now confirmed that they have completed their recruitment fee reimbursement for currently employed workers. That's to the benefit of more than 30,000 migrate workers across Malaysia. Generally, we see good progress by finished goods suppliers in closing out audit issues. And I'm also encouraged at the level of attendance we've seen by our suppliers in the training sessions that we are conducting, describing our code of conduct, covering our expected labor standards and our broader sustainability objectives. Finally, in this section on progress against environmental goals. And you'll remember, A little over 6 months ago, we made a series of new commitments, including most importantly, that we will be at net zero by 2040 with regards to our own internal operations emissions, otherwise known as Scope 1 and Scope 2. We're on track to achieve that goal and a couple of highlights here, we're now 25% of our electricity sourced from renewables. We continue to invest in solar at a number of facilities, and we continue to also ensure that we are connecting to the best insights and available information in the world of sustainability with further progress shown on this page. We're also on track against our water withdrawal target and continue to invest in advanced reverse osmosis systems. And finally, effectively, all our plants today are now zero waste to landfill. Six have been officially certified as such by Intertek and the other 4 are in the certification progress. And that means that in the last 6 months, just 0.5% of waste generated by manufacturing went to landfill that compares to over 17% just 3 years ago. Now moving on to financial results. So overall, sales lower, with the constant currency sales growth in industrial, more than offset by lower health care sales with FX translation effects and the exit of our Russian operations at the end of last fiscal year, contributing additionally to the decline in reported sales. EBIT margin, as I mentioned, improved on an organic constant currency basis. Healthcare margins increased substantially after being negatively affected in the prior period by the sell-through of relatively high-cost finished goods exam single-use inventory. Industrial margins were lower, but we expect to improve in the second half. Comparing EBIT period-on-period. And the key factors here are a decline of $5.7 million due to the loss of the contribution from our Russian business in the prior period and a decline of $13.8 million from unfavorable foreign exchange effects. If I exclude both these factors, then EBIT was broadly unchanged on the prior year, as you can see in the organic constant currency column on this page. The Board has declared an interim dividend of just over $0.20, which is a payout ratio of 40% and consistent with our dividend policy. Turning now and providing you with some more detail on organic growth under our strategic business units. So exam single-use, down significantly in the half, but important to note that still showing a favorable 3-year growth trend. Customer destocking was a significant contributor. And what we -- the long period of destocking in medical, which we anticipated to continue this half was joined by a greater impact than expected on destocking extending for these products sold through other verticals, in particular, industrial distributors of exam and single-use products. Prices were also lower, but this in line with expectations. And overall, I'm pleased with how we're managing unit margins for this business, and they are trending somewhat above our expectations at this point. Looking at the 3-year picture and the mix of this business has improved significantly, and that is largely driving favorable revenue as we've exited and reduced our presence in the most commoditized and least differentiated products and strengthened our presence in more differentiated, higher selling price and higher margin product ranges and then, of course, also links back to our manufacturing investment strategy. For Surgical, another half of double-digit growth, and we saw that in all regions, which is particularly satisfying. I would note though that we're clear that in the half 1, there was some benefit from customer inventory build, particularly in North America and also recovery of back orders as we and the industry generally have now restored more normal supply. Over the 3-year period, we see both volume growth and continued mix improvement for Surgical as the general trend away from powdered and powder-free natural rubber latex to more advanced, higher price and more specialty synthetic alternatives continues and still has a long way to run around the world. Our Life Science business went from a multiyear period of significant growth to a decline in the half. And again, we believe that's primarily a result of destocking with major distributors reducing inventory levels by many months. This was most pronounced in our EMEA and APAC businesses. Our distributors confirm and our sales team observed that underlying market demand continues to be favorable, although we are clearly not seeing that Ansel in this period of destocking. Again, looking over the 3-year time period and we see double-digit 3-year CAGR, even with the current period being affected by destocking, and we're confident that market fundamentals in this business remain very favorable to long-term growth. Turning to the Industrial business units now and Mechanical, a very strong half year performance, growing at 7.6%. We saw that growth come from all regions and a double-supported by double-digit expansion in emerging markets. particularly satisfying that the growth came in the areas where we have invested. Our new products are gaining traction and winning business in Cut Protection, our recently acquired Ringers business was behind a very strong performance in specialty and especially to energy markets, which, of course, are seeing very strong demand currently. Looking at the 3-year picture and what we see in mechanical is that the broadening of our vertical exposure there. Energy as already mentioned. Our presence in warehouse and logistics now give this business more areas to compete and succeed in and reduce its exposure to any one particular element of the economic cycle. Chemical returned to growth in the half, largely through price improvement in hand protection, but we do see improving trends in body protection another part of our business that is, I believe, towards the end of its post-COVID destocking phase. Over the 3-year period, we see growth in both hand and body protection and these are weighted to our more differentiated high-end chemical portfolio, where we continue to invest in differentiating our go-to-market, including through our chemical Guardian Safety Boarding system. A few more details on our growth in emerging markets, and it's particularly satisfying to see emerging markets reach almost 25% in the half, and that's without the contribution of our significant Russian business. And overall organic constant currency growth after excluding currency and Russia from the prior period of 4%. We saw strong results, particularly in both surgical and mechanical portfolios with both growing over 20%. And yes, in emerging markets, we did see declines in exam single-use and life science as everywhere, but these were not enough to offset the surgical and mechanical growth. By region, double-digit growth in China, even with all the headlines around the more challenging economic conditions in that country, our teams found ways to continue winning and a particularly strong result for our surgical team in China. Latin America has a multiyear track record of success, grew again by 8% with good results in Brazil and Mexico, especially. And in India, we saw strong growth in Surgical, although India did experience lower sales from exam single use, but that mix shift was very favorable to India margins and the India business overall remains in good shape. On Russia, we've completed the exit of our operations. We are in the process of selling our manufacturing facility. We have reached agreement with a third party on all key terms of the transaction. We're now waiting for the final stages of government approval before that transaction can close, and I will not be able to give any details about that until we have achieved those government approvals. Let me now turn to the recently announced acquisition, full acquisition of our joint venture, CarePlus. We announced a few hours ago that we've agreed to acquire the 50% shareholding that we didn't already own in the JV from CarePlus Group for around $9 million. And accordingly, when the transaction closes sometime in March, this will make CarePlus a wholly owned subsidiary of Ansell. I believe that this investment, together with the investment we've made in Thailand in our industrial grade touch and tough exam single-use has transformed Ansell's position within the exam single-use market. And now, for exam single-use, as with all our other SBUs, we are primarily a branded innovator, marketer and manufacturer and bringing those key qualities together sets us apart from almost everyone else in the industry. Why does it make a difference to manufacture our own products? Well, firstly, in an era of increased scrutiny and lack of tolerance for any issues, it gives us greater control over our single-use exam supply chain. It also gives us additional surgical capacity, and this capacity particularly suited to continued expansion of our emerging market strategy. It also brings us important protection over innovation. The single-use business has largely been focused on supply chain challenges over the last couple of years. Now as those normalize, we're turning our attention back to innovation. And as we bring new products to market and in particular, developed solutions to the sustainability challenge in this business, we want to be sure that those innovations are exclusive to Ansell. The customers know they can only get those products from us from no one else. And we also know that by introducing Ansell technology, we can achieve enhanced manufacturing productivity at this facility, but we did not want to do this without full ownership and control. The acquisition will be funded from existing reserves. We expect the P&L impact of the manufacturing entity to be EPS neutral, but the main return from this manufacturing entity comes in the sale of the products which are already in the Ansell P&L. Closing as is expected, as I mentioned by the end of March. Let me conclude here for the moment. Let me hand it over to Zubair to give you more detail on financial results, and then I'll come back in a moment with some comments on the outlook. Zubair, over to you.
Zubair Javeed: Thank you, Neil. Hello to everybody listening into the call. So I'll begin with a review of our first half profit & Loss summary, as I always do. And Neil has already covered detail behind sales performance in the half, so let me focus more retention on the other lines of the P&L. Now you just heard the foreign exchange movement negatively affected sales by $48 million and EBIT by just under $14 million. The major drivers of this were a double-digit depreciation of the euro, that hurts revenue, offset by a couple of our cost currencies, namely the Malaysian ringgit and the Thai Baht , both weakening versus the U.S. dollar. Our hedge book gains in fiscal '23 softened some of the bottom line impact, but that will act as a comparative headwind as we move into fiscal '24, and Neil will cover a bit more about that shortly. Moving to the gross profit after distribution expenses line. Here, a 450 basis point improvement in organic constant currency terms is largely driven by that examined single-use rebasing in both price and cost. The unfavorable FX movement Neil just covered and I just mentioned, also hit GPADE margins on a reported basis. Now as we were cycling through that high-cost inventory last year, I did outline even then that the depressed margin percentages were simply a phenomenon at that corresponding GPADE math on a much higher outsourced product costs. but this should reverse as pricing and costs normalize back towards pre pandemic ratios. The GPADE percentage now, as you can see, it's indeed moved in line with that narrative. Moving forward, I'd expect further normalization, albeit to a lesser extent than the benefit we've just seen or experienced in H1. In terms of GPADE dollars, we're down nearly $21 million on a reported basis. And of course, that's explained by that Russia exit, the unfavorable foreign exchange to destocking in both the exam single-use and Life Sciences segments, as highlighted earlier. Moving to the SG&A investment in the half. Now again, not dissimilar to so many companies, I would say, around the world. Our prior year SG&A included very little travel expense and other costs related to in-person customer-facing activities. So as trouble, et cetera, has picked up, that SG&A as a percentage of sales, it's also risen back towards that 19% to 20% mark that you've seen us historically trend at. Now at the same time, however, given clearly the uncertain macroeconomic backdrop, we remain very cautious and disciplined in pacing overall expenses and at least where they're discretionary in nature. And then lastly, not on this slide, despite a significant increase, I'd say, in the tax rate, and that was driven by Sri Lanka corporation tax increasing from 14% to 30%. Our group effective tax rate benefited from us using up some book -- unbooked tax losses in the half. So we conclude in H1 there with nearly $0.51 EPS and that's 10% growth in constant currency terms. The Healthcare business unit performance is shown here on the next slide, Slide 15. Now at the GBU level, you can see the more pronounced effect of that exam pricing normalization despite a 22% decline in organic constant currency growth rates, the business unit experienced double-digit EBIT growth and nearly 400 basis points improvement in constant currency margins. Again, Neil's covered so much to their sales performance, and so I'll not repeat our commentary. Moving to the industrial business unit on Slide 16. Here, we see the reverse situation despite a strong constant currency sales growth, we have a double-digit decline in EBIT performance. Now that's explained by the softness in the Chemical business unit margins and some temporary difference with our overall price recovery. I did mention in our last earnings call that given the sheer depth of our product ranges and how those products move through our supply chain, we're not always going to per that we line up price against the cost increases. However, in the second half, I would anticipate that we recover any pricing gap we have from H1. Already in January, for instance, we do see achievement of further price increases on some of those cost pressures diminishing. Now that should help overall IGBU margins in H2, although a chemical disposable clothing segment does remain highly competitive. Next up is a review of our raw material costs. Slide 18. Overall, cost of goods sold was about $530 million in the half. And as you'd expect, here, the composition of outsourced cost is now much lower and more in line with those prepandemic percentages. And at the same time, we're also seeing 10% to 20% reductions in natural rubber latex and NBR feedstock costs. However, offsetting those are increased labor costs and energy costs in Sri Lanka and Malaysia, as we highlighted here in the slide. I'm also calling out to inflationary pressures against bite raw materials such as our chemical yard, packaging costs. So overall, it's a pretty mixed picture in terms of raw material costs, but I would still summarize this as an inflationary cost environment and one in which we must maintain pricing discipline as we move across that second half. Switching to the cash slide. Overall, given our usual H1 to H2 SKU here, I think, satisfied with 65% cash conversion in the half, and we have positive operating cash flow. However, we did invest more in working capital than I would have liked. I'll speak more about that in a moment. But in the second half, our target a much stronger second half in terms of cash conversion, that I'd be pretty disappointed if we couldn't get back towards that 90% conversion we saw last year fiscal '22. In terms of operating cash here, you can see also we spent $33 million in CapEx in the half, and I think that's a pretty good run rate for the second half as well. We're pleased with how capacity expansions are progressing and my operations colleagues will start to focus attention on more automation and productivity projects as we move into fiscal '24. Turning to the balance sheet. Please, next slide, on Slide 21. I remain pleased here with low net debt-to-EBITDA levels, which, of course, affords us good capital allocation options. However, as I've just mentioned, that working capital and specifically the inventory remains a focus area. In the half, we did intentionally build up some surgical and mechanical safety stocks, but inventory also increased because of those destocking effects Neil mentioned earlier. Now with long manufacturing lead times and transit times, any major deviation with our demand forecast can take 5 or 6 months to course correct. And so we either wear more inventory investment than we would like or we have the opposite problem of increased customer back orders. Now the situation, of course, is optimal. And so we continue to drive a myriad of internal initiatives to improve the reliability of our forecasting and our supply chain. And as Neil will shortly comment on we're cautiously optimistic that we're on the right track for sustained improvements in this regard. And lastly, return on capital employed is lowered because of several factors. Firstly, with that increase in working capital. We've invested in in-house manufacturing capacity, as we've told you in the last few earnings calls. And then, of course, we've invested now in the CarePlus consolidation or the step-up of balances relating to that consolidation. And all of these factors are outpacing our earnings growth. Now although ROTE is lower for the time being, we are building solid platforms for future revenue and earnings growth. Moving to the last slide here in this section -- here in an environment of sharp and uncertain interest rate movements and those debt markets, which we're all reading about are so much more selective than a year ago. I did want to end my section here with a quick review of our funding profile. So in summary, we have nearly $600 million of liquidity available. It was at 31 December. And with our debt profile, I think it agreed well balanced from a maturity perspective with largely fixed interest debt. We don't really see significant refinancing risk or indeed our P&L, I would say, is largely protected from certain heightened interest rates. And so to wrap up, I say this in most of our earnings calls, and I'm pleased to be able to continue saying it. At Ansell, we remain a very strong cash generator. We've got relatively low levels of debt. Clearly, this preserves our optionality when it comes to deploying that capital, and that's whether it's for high-yielding internal investments and or indeed returning cash to our shareholders via dividends or buybacks. So thank you for taking the time to listen into the call. And with that, I'll hand back to Neil for the guidance commentary and then on to Q&A.
Neil Salmon: Thank you, Zubair. So turning to our views on EPS and some other key assumptions for the year. So let me recap firstly, on those operating environment conditions. We continue to see favorable trends for industrial and expect continued good organic constant currency growth for that GBU. Health care, though, we expect to remain difficult for at least part of the second half. And overall, health care demand conditions are weaker than we had expected at the beginning of this year. As I commented earlier, at the AGM, we saw destocking trends broaden beyond medical to include industrial and life science distributors of these products. And although customers do indicate that the destocking effect should moderate in the second half, and we already see that in some cases, the overall timing of this moderation is delayed versus our earlier assumptions. And I would also note that it's quite a challenging environment. As you have read, I'm sure, frequently for health care systems around the world, the pressures on those hospitals on the acute care environment, together with a reduced need to change with regards to surgical close as competitive supply has improved, has resulted in a slowing of the conversion rate of new surgical opportunities. There is still significant opportunity, and I remain very confident in the long-term growth rate of Surgical, but we expect to see a moderation in the growth rate over the next 6 months. I will not be satisfied with the year, to be clear, unless we do deliver an EPS results within our original guidance range that is shown here at USD 1.15 cents to 1.35 cents . But those market conditions that are more challenging than I originally expected, do mean it is prudent for me to update this range with a new lower, lower end, starting at USD 1.10 cents and extending up to USD 1.20 cents that is achievable. And the change in the guidance range largely reflects those market conditions that I've covered. The unfavorable impact of a strong U.S. dollar in the year, it should be noted, has been mitigated by a long established FX hedging program and the benefit of that mitigation is in the order of expected to be in the order of $11 million to $15 million for the full year. Now from here on, we'll have -- not quite whatever, but most changes in FX rates will have limited impact on EPS because we are now a high percent hedged on key currencies for the rest of the year. Zubair commented on key drivers to our tax rate that result overall in a net favorability for F '23, but without the expected hedge book gain contributing in FY '24, we'll also lose the tax rate benefit of that. And so we see an increased tax rate in F '24. Full year CapEx for this year is expected to be in line with the previously indicated range. Dividend policy also expected to be maintained. And as part of our continued and active capital management strategy, we do expect or intend our on-market share buyback to be active in the second half. So now let me conclude with a return to our key strategic priorities, as I outlined 6 months ago and our status agent. So top of the priority list is to ensure that we continue to execute against our strategies for long-term growth and differentiation. Our capacity expansion plans are on track. I believe the CarePlus acquisition announced today is a significant step forward in our exam single-use differentiation. And we do see building customer interest in our sustainability differentiation and the product solutions we are bringing to market linked to that. Product innovation success in mechanical is evident and very satisfying. And now we need to broaden that success across the health care business as well as health care gets back to its innovation agenda. I've mentioned before that key to Ansell's long-term success is an improvement in our internal operational effectiveness. This is where we're spending a significant amount of time and also investing in systems. And as Zubair indicated, we are seeing progress. The performance of our recently installed capacity is satisfying. I was in Thailand on Friday and very happy with the progress that I saw there. As Zubair mentioned, manufacturing focus is now shifting to productivity and automation, and we're building momentum against that objective. The investments we've made in supply chain resilience and our planning capability are showing results and improved reliability and improved service levels to keep customers as many customers have noted and observed. And our continued vigilance on supply labor its compliance has now ensured that we've achieved that key milestone of 100% completion of recruitment fee reimbursement. And I expect us to be ahead of target this year on our environmental goals. So what are our key focus areas for the remaining 4 or 5 months of the year in order to deliver the best possible results against our EPS expectations. Well, we anticipate continued organic constant currency growth in industrial. Key is that we see a sequential volume improvement versus the first half in exam single use. Although the surgical growth rate overall is expected to slow, we do want to ensure we're building momentum in the number of conversions we secure in the acute care space. We have secured already industrial price increases. We need to maintain those and ensure that industrial margins improve as the price and cost equation comes back more in line with our expectation in the second half. And that will lead to an improvement in EBIT margins, particularly in Industrial. And as already mentioned, we will remain active in our capital management, including as appropriate under our buyback program. Well, thank you for your attention to our earnings summary. And now I would like to go over to questions.
Operator: [Operator Instructions] Your first questions come from David Low from JPMorgan.
David Low: If I could just start with a question on the destocking that you saw in exam single use in the industrial space. At the same time, you commented that the Industrial division did well and demand is reasonably solid there. Just wondering what segments are you seeing that destocking in? And are they subject to different economic headwinds than the other parts of the business?
Neil Salmon: So yes, it's a little confusing this, but let me just recap. So within health care, we include sales of exam symbol use to all verticals. And some of those products, particularly the touch and tough range, are used more in an industrial setting than a medical setting. So what I'm commenting on is sales under the health care division that go to industrial end markets. And yes, you're right to say that there's quite a difference between -- there are some destocking effects in mechanical also through the same distributors largely linked to the warehouse and logistics sector, where we saw very, very strong growth during the COVID period. And as everyone is aware, that sector is retracing somewhat, but still much bigger for us than a couple of years ago. So a limited piece of destocking and mechanical. But what I think we see across the board, for example, single-use is that customers were very concerned about availability of those products for quite a while. And therefore, we're running with many months more inventory than their targeted level. As they saw product availability improved and as they saw the risk of supply chain disruption reduce recede, they have collectively decided to go back to more normal inventory levels. We knew this would happen at some point. We did not anticipate it happening as quickly as it did. And so that's where we see this destocking effect occurring for health care, but for products sold through industrial and similar effects happening in Life Science. In Life Science, it's the distributor set it's fairly concentrated. There are 2 key leading global distributors of life science globally. And when they take the decision to take out several months of inventory, clearly, in the short term, has quite a sizable impact on the demand on Ansell. So I hope that gives you a bit more color to it.
David Low: Yes. No, that's helpful. So I mean, to some degree, you could see that it was coming. It's happened more quickly, and I heard from the comments earlier that you're thinking that, that's largely -- there will be further impact in the second half, but less. That's the right conclusion?
Neil Salmon: Yes, that's right. Yes. And I'd say our ability to forecast this should be better. It links back to what Saber was saying about improved supply chain reliability. And we're putting quite a bit of emphasis together with our customers on the importance of collaborative forecasting, and we're actually making quite important steps forward too late, unfortunately, to have seen this more clearly 7, 8 months ago, but an opportunity for improvement going forward for sure.
David Low: And just one other question. I mean -- and very similar. The surgical part of the business, you saw a benefit from restocking and from back orders being filled. What does that mean for second half versus first half? I mean do we still see growth or without that effect, you might see a bit of contraction in the second half numbers in the Surgical division?
Neil Salmon: Yes. I mean, to both -- within the range of both those statements, overall growth on the year and still Surgical will show very strong 3-year growth, but it's possible that the second half will be moderately negative just half-on-half. But if that is the outcome, that's of no concern to me as the fundamentals for surgical remain very positive.
Operator: Your next question comes from Lyanne Harrison from Bank of America.
Lyanne Harrison: I might just follow on from David's questions there about the exam single use and the destocking. Do you see any material difference or difference in the customers between the United States and the rest of the world?
Neil Salmon: No, I'd say we see pretty similar trends. So there's a difference in the nature of the distribution landscape. It tends to be concentrated in a small number of very big players in North America. And in Europe, we have fewer big players and many more country-specific players. So it's a little harder to get a consolidated view across the distributor landscape in Europe. But through key conversations we've had with individual distributors in Europe, it's a very similar picture. I'd say it's less pronounced in some of the emerging markets where these destocking effects will work through a little earlier.
Lyanne Harrison: And just a follow-up there in terms of the selling prices. Obviously, you mentioned that both examples exam single-use and life sciences, obviously, seeing some pressure on prices. In your view, how much left do you think is to go before we get some stability there?
Neil Salmon: So it's difficult to be 100% confident in that. We're at -- we've now completed the final planned stage of price reductions in same single-use. We drilled this to customers some time ago. And we pass those through. It's a little bit different timing in different markets, but essentially complete as we begin the second half. We don't plan any further price changes for that segment through the next 6 months. And our goal will be actually to maintain pricing or even perhaps the next step in pricing in exam single use will be increases at-- the commodity end. And before I make further comments on that note, that is not the segment in which we're a major player, but it's still an indicator. We know that large commodity producers in exam single-use, whether Malaysian or Chinese are suffering with very compressed margins. And you've seen that in the reported results of many of the major players. And there is talk of the next step of pricing being up. But I think yet to be seen in the marketplace. But certainly, if the low end of the market starts to move up, then that further supports the statement I just made. For Industrial, yes, we secured price increases further around the price increases, again, a little bit different market to market, but the last set of increases went into place in January, and they are holding. And now we're reviewing whether we need to take further price in industrial as we do see continued inflation across many parts of our input cost.
Operator: Your next question comes from Gretel Janu from Credit Suisse.
Gretel Janu: Just my first question, I just want to be clear on the guidance commentary here. So in second half, do you expect group organic sales to be negative given the continued health care pressures? Or will industrial offset that to be positive?
Neil Salmon: Well, the FX effects and the currency effects will continue to be negative, and then a single use pricing will still be lower on the half on half. So yes, those are all unfavorable to sales.
Gretel Janu: But on a constant currency basis, still negative there?
Neil Salmon: Constant currency is set to be favorable for industrial, and then I expect unfavorable sale for a single use. So the overall health care results depend on outcomes and the other SBUs.
Gretel Janu: And then just in terms of industrial margin, looking forward, obviously, there's quite a bit going on at the moment. That's impacting the margin. But just trying to work out where you see this margin getting to in the next 12 to 18 months. Do you see it recovering back to what you saw historically? Or will it remain kind of depressed for a longer period of time?
Neil Salmon: No, we do expect it to recover to historical levels. It's hard to predict it exactly in the half. As you say, there are moving parts. But fundamentally, we believe the business margin is strong. Mechanical margin has been -- was strengthened by the manufacturing restructuring we did some years ago and now has continued to be supported by innovation, which is generally favorable to mix. There is work to be done to improve the chemical business margin further from the level that we'll achieve in the second half, and we're looking at options to do that. So fundamentally, I think industrial margins when looking through these factors are in a good place and with further opportunity.
Gretel Janu: But most likely, it's still going to take over 12 months before we see it kind of recover to where it's been historically. Is that a fair statement?
Neil Salmon: I'm not going to be pinned down on exact timing, we'll see an important step in the right direction in the second half. That much I'm confident of.
Operator: Your next question comes from Vanessa Thomson from Jefferies.
Vanessa Thomson: I just wanted to ask about the tax rate. Firstly, it's increasing at the midpoint by 2% in FY '24. I know there was some mention of the FX hedging effect. I just wonder if you could talk me through that, please?
Zubair Javeed: Yes. So Vanessa, we've had an increase, as I mentioned in my comments, the Sri Lanka corporation tax rate increased from 14% to 30%. That was enacted on 19th of December, in 2022, and it was retrospective back to 1 October 2022. So that was one factor. However, in the current year, it was kind of muted because we had the ability to offset that with some unbooked tax losses we utilized in Australia against some FX contract gains. So that kept us right there in the 20.5% to 21.5% range on which we're forecasting for the remainder of the F â23. So when all of that unwinds in fiscal '24, basically, we're going to get the full year impact of that for Sri Lanka Corporation tax rate increase. And therefore, we're expecting that book tax rate to move towards the 22.5% to 24.5% range that Neil has indicated. And again, those losses will come in to some extent, but a lot less than what we've experienced this year or in this half.
Operator: Your next question comes from Andrew Paine from CLSA.
Andrew Paine: Just circling back to the surgical. Just want to get a bit more insight there in terms of the inventory build and competitors returning to the market. Just trying to get an understanding of what the second half looks like is that are you going to potentially have a double hit from the high inventory in the system and increased competition there?
Neil Salmon: I mean, so to be clear, it is a challenge that when we're working on still 3 to 4 months late, there's a lag between when demand trends change and when inventory adjusts. So that's always going to be the case for our business and also should not be overread either favorably or unfavorably, and we need to be perhaps clear about that and communicating that, and that's what we're trying to do at this point. We continue to gain share across surgical markets globally. Over the last couple of years, we've put a lot of emphasis on an opportunity to gain share in North America linked to the overall strength of our product portfolio, our consistent product quality and also some supply disruption that other competitors have experienced. So that is -- that unusually favorably -- favorable demand scenario in North America. It's now normalized again as competitive supply has returned, and that's what we expected to happen at this point. But our market position in North America is much stronger than it was, and we had some very strong arrangements with leading GPOs that we expect will continue to drive share gain. What's happened in the short term is that the pace of that activity has been slowed by those many disruptions that are being experienced by hospital systems worldwide. And when there are shortages of nurses and shortages of key components required for surgeries, you see attention focused on those issues, obviously, and perhaps less time and availability to continue with the surgical conversion program. And that's what I'm flagging here that particularly in North America as a result of that, we've seen a pause in the rate of share growth. And our goal now is to pick that up again over the next 6 months, but any pickup will be more for next year benefit than this year. What's encouraging is, as we have -- and as we've planned, we would be doing this as we have shifted our surgical focus back more evenly around the globe, we're seeing good results everywhere else. So EMEA growth was good in the half. And as I mentioned earlier, we saw strong emerging market success in India and China, and those countries are still in the very early stage of the surgical opportunity. So our inventory build in surgical is more just restoring surgical inventory levels to more normal levels. But we are aware that because that pace of conversion in North America has been slower than anticipated. Our channel partners now have higher than normal inventory levels. And so there will be a period of adjustment over the next 6 months as that returns to equilibrium. So I hope that gives you the additional color that you were looking for.
Andrew Paine: And just on raw material and freight costs, they look like they're easing at the moment. Is that something that you think will become a benefit over the next couple of halves going forward? Just trying to understand any impact here and expected timing of that impact?
Neil Salmon: [indiscernible], do you want to take that to that?
Zubair Javeed: Yes. So I think in my section of the day, I did mention we've seen 10% reduction in NRL costs early in [indiscernible] given the excess capacity is still prevalent, let's say, in the market for exam single-use product. I won't be surprised of course, to see those trends continue into H2, and you'll see that in the external narrative as well. However, I don't expect to see fully the cost reductions both for that Infra to drop through to the bottom line and increase margins, et cetera, in [ HCV ] because, of course, as we've highlighted in the raw material cost side, we do have labor inflation and increased energy costs that we're contending with in Malaysia and places like us. So that, coupled with the COGS like, our normal COGS like over the supply chain period leads any residual savings will take time to pay in the P&L. But I would say mostly that inflationary headwind will offset a lot of this raw material cost. And we're ensuring our sales teams maintain that pricing discipline and remind our customers we do have these inflationary headwinds.
Operator: Your next question comes from Dan Hurren from MST Marquee.
Dan Hurren: I just previously -- obviously, your Investor Day, you've talked about Ansell pricing -- it's a premium product, et cetera, which I think we all understand. But I just wanted to get an update, and we've seen some pretty -- the mid-market players seem to have dropped their prices quite significantly, certainly in some geographies. Is that price premium under pressure? Or are you able to maintain it with the brand and et cetera?
Neil Salmon: So just before I answer, do you think you have any particular business unit in making that [indiscernible] then or...
Dan Hurren: Sorry, I should -- I apologize, I should have said I was talking about specifically more on health care single-use surgical site here.
Neil Salmon: Yes. Okay. So yes, I think the price points indeed -- so a reminder, we are a tiny, tiny percentage of the overall world exam single-use volume. And the very large majority of that market is on what we call a standard thin [ nitrile ]. So that basic glove that is used in acute care settings around the world for simple procedures, and we have almost no business in that space. So when you're talking about pricing, you're really talking about that product category. And indeed, if you look at some of the pricing that is being quoted on major volume tenders and so forth, it would be at or below pre-COVID levels. And that's why you see margin pressure on the major Malaysian producers and although the Chinese producers don't report results as transparently, we're pretty sure that there are similar margin pressures in China. But that doesn't -- that only influences a very, very small piece of our end pricing. And we've actually been successful in maintaining a much more measured progress on pricing of the more differentiated products. So we have brought them down, as I mentioned and as planned. But the key point is that the average unit margin that we're seeing overall for that portfolio is improved, and that's partly in pricing by product category, but it's also partly a mix shift to benefit. So -- and that's not something that we see changing. So we've been able to maintain the value that you would expect if these products are indeed differentiated. We expect that to continue going forward. And now with the greater opportunity we have in manufacturing we have further avenues in which we can drive productivity and margin in that business going forward. But really, the most important thing, for example, single use at this time is if we get back to the innovation agenda, this is at the heart of Ansell. We've had almost no ability to innovate in that business where its entire focus has been on supply chain continuity. Now with that pressure easing, the team is fully back on the focus of innovation, and we have some exciting things coming through the product portfolio.
Dan Hurren: Can I just -- a more philosophical question. I mean, historically, Ansell and the industries that you've operated and have been pretty predictable. There haven't been too many surprises over the years, but obviously, operating conditions now created quite a bit of volatility. Do you see -- are we getting close to returning to normal operating conditions for both yourself and your customers? Or do you think that we'll continue to see sort of this unpredictability that's kind of plagued the last sort of couple of years, I guess.
Neil Salmon: We're getting close, certainly. So I would say the challenge of supply chain unpredictability has largely moved through and lead times are getting back to where they were previously. Still perhaps not quite as reliable as pre-COVID but pretty close. So that's a big factor. Now that's had a negative effect on us in the short term, as mentioned, because customers have decided, I don't need as much inventory against supply chain risk and have moved quite swiftly to address that. But fundamentally, as you say, that removes an element of uncertainty. But it's -- there's no report I can look at that unfortunately shows me at a glance the level of the number of boxes of product sitting ahead of us in the supply chain. But anecdotally, I feel, yes, we're certainly closer to the end of that story than the beginning, and that goes for both the medical and the industrial and life science segments. And -- and that once that moves through, then we then demand on us and demand will more closely match end-user demand, which is the second key source of volatility. I think the one piece of volatility that I expect to continue is around foreign exchange. Of course, that's driven more by global economic and geopolitical trends. And that's hard to predict as we go into next year. But a reminder that, that's what our hedging program is there for. It's successfully muted the effect of unfavorable FX this year, not fully, but in large part. And we'll see how that plays out into next year. So yes, I think -- and there's nothing -- I wouldn't say there's anything -- once all these effects move through, I don't think there's anything fundamental that says we won't get back to that more consistent performance that you described. And we should be better at delivering on consistent performance because of the operational effectiveness agenda that I've described and which has been a significant focus of ours and where we're seeing progress. So I think an important point, and I hope that gives you some additional data against that.
Operator: Your next question comes from Mathieu Chevrier from Citi.
Mathieu Chevrier: Just had one on the contribution of price increases to revenue growth in the period?
Neil Salmon: Yes. We don't give that number to the percent, but perhaps Zubair you would repeat a few of the key influences even if we don't give you the exact number. Yes.
Zubair Javeed: Thanks, Neil. It's probably -- I could probably do this role by now, and it's consistent with my previous answers in respect to price volume questions. So as Neil said, we don't give a single number here because we don't think, quite frankly, it's helpful. So instead, let me outline in the half versus prior year where we saw some trends. So mechanical growth was largely volume driven, with price recovery, netting against the inflationary cost increases. Chemical on the other hand was largely price growth because of the competitive pressures on the disposable clothing segment, as I discussed, we had some negative volumes there. The exam single use, it was largely a price decline. And of course, that was pretty significant. And then surgical, that's largely to volume growth. And lastly, Life Sciences, again, largely volume growth -- or sorry, largely volume decline forgive me, and that was driven by the destocking Neil mentioned earlier. So I guess, if you wanted to summarize all of that at group level because of that outsized nature of the exam single-use decline, you could say, overall, we've had price decline at the group level. But again, I'm not sure you can do anything with that on a go-forward modeling basis until all of those prices reset. Hopefully, you can take some color out of that.
Mathieu Chevrier: And then just another one on CapEx. I believe you have about $10 million less in the budget than you did 6 months ago. And Zubair, you talked about automation earlier in and obviously, efficiency is a big focus of yours. I was just wondering what we should think CapEx should look like for FY '24 and going forward and whether the FY â23 is a good guide.
Zubair Javeed: Yes. So just to be clear, we did about $33 million of CapEx in H1. We've said in our guidance note here, we could see anywhere between $60 million and $80 million on a full year basis, and that will be largely as a result of finishing our India expansion of [ Cava ] as we call it, expansion there, our greenfield site. Now we said, again, consistent with prior comments that -- the capacity additions of these greenfield sites will largely be behind us in fiscal '23. So that $60 million to $80 million number perhaps will trend a bit lower in fiscal '24. We haven't finalized the budget there for next year, and we will come on to that in the second half. But I think for your modeling purposes, I would maintain that $60 million to $80 million number is a good range for now. We will sharpen that up as we gave guidance for fiscal '24, of course.
Operator: Your next question is a follow-up question from Vanessa Thomson from Jefferies.
Vanessa Thomson: I just wanted to follow up. You mentioned higher plant costs, especially in chemical in the industrial unit. And we've also spoken about lower prices for rubber and nitrile. I just wondered, should we be thinking about higher input costs, in particular for fiber and yarn at what's driven up the industrial costs? Or is it something altogether different?
Neil Salmon: So we were...
Zubair Javeed: No. So the industrial...
Neil Salmon: We were saying...
Zubair Javeed: Sorry. Go ahead, Neil.
Neil Salmon: No, you go, you go. I'm stepping back.
Zubair Javeed: I was going to say, the industrial cost FX related, the foreign exchange had a big drag from that business unit. And then of course, there was that chemical disposable garments that are priced down and the overall chemical business unit margins deteriorated as a result. And then we had some slight mismatch, and this is why I said in my commentary on the pricing that we needed to recover in the half against those costs. That will catch back up in H2. And as a result, as Neil said, we should see a recovery of the industrial margins in H2. But whether they get back to historical norms, that's yet to be seen, but you'll certainly see a leading indicator of that in H2.
Neil Salmon: Maybe let me pick up on the productivity point a bit related to that and the previous question, I mentioned it, too. So we have a very big pipeline of opportunity for automation with a particular focus on competing activities, which is where a lot of our more manual tasks exist today. Progress against that over the last couple of years has been limited by the fact that most of -- many of those operating lines have been running flat out and/or recovering from COVID disruptions that were a feature as you remember, of last year. So as we get a little bit more as we get caught up on back orders and supply demand comes more back in the balance, that actually frees up line time to allow these initiatives to proceed. And I'm encouraged by the progress. But this level of automation is really necessary just to offset the ongoing input cost inflation that we see in key countries, such as Malaysia linked to wage rates and also energy costs, as Zubair described. It's chemical that has the toughest challenge in ensuring that productivity offsets inflation. And so we're looking at that further and looking at ways that we can make more quicker progress in productivity for chemical, and we'll come back to you with updates once we've developed those clients.
Operator: There are no further questions at this time. I'll now hand back to Mr. Salmon for some closing remarks. Please go ahead.
Neil Salmon: Well, thank you to everyone for your attention, your interest today for the questions. It continues to be an uncertain environment in which there are many short-term trends that added up in this half to some unfavorability and have also caused us to moderately lower the bottom end of our guidance range overall for the year. But it's important to keep those shorter trends in perspective because in my view, they have no correlation to our long-term performance as a company. And there, I believe our fundamentals are in good shape. We remain focused on our key strategic drivers of long-term value creation, and I'm satisfied that on that front, we made good progress in the half, and we'll have further good progress to report as we close out this fiscal year. And I look forward to updating you on that in August of this calendar year. Thank you for your attention, and goodbye for now.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.